Operator: Ladies and gentlemen, thank you for standing by and welcome to the LightInTheBox Second Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Monday, September 18, 2017. I would now like to hand the conference over to your first speaker to date, Christian Arnell. Thank you. Please go ahead.
Christian Arnell: Thank you, operator. Hello, everyone and welcome to LightInTheBox's second quarter 2017 earnings conference call. The company's earnings results were released earlier today and are available on the Company's IR website, as well as through PR Newswire. Today, you will hear from LightInTheBox's Chairman and CEO, Mr. Alan Guo, who will give you an overview of the company's strategies and recent developments, followed by Mr. Robin Lu, the company's Chief Financial Officer, who will address financial results in more detail. Before we proceed, I would like to remind you of our Safe Harbor statement. Please note that the discussion today may contain certain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. To understand the factors that could cause results to materially differ from those in the forward-looking statements, please refer to our Form 20-F filed with U.S. Securities and Exchange Commission on March 30, 2017. We do not assume any obligation to update any forward-looking statements, as required under applicable laws. At this point, I'd like to turn the call over to Alan. Alan, please go ahead.
Alan Guo: Thanks, Christian, and thank you everyone for joining us today. We are happy to report our second quarter revenue which came in at $78.5 million, representing an increase of 19.6% year-over-year and at the high end of our previous guidance. While also returning to profitability was $0.3 million net income on a non-GAAP basis. Total number of product orders also increased to $1.7 million, a strong rebound of sequential lead and year-over-year. This is our third consecutive quarter of revenue growth on a year-over-year basis and our highest year-over-year growth rate in last two years. I believe these results are direct attribute for to the effectiveness and the persistent execution of our strategy to strengthening supply chain management, improve customer satisfaction, leverage big data enable part of merchandising, expand into emerging markets with more localized product offerings and service solutions and the folks on mobile internet opportunities. Growth was primarily driven by a significant increase in product sales as number of customer in order increased year-over-year particularly in closing choose sports, as well as Toys & Hobbies categories. Geographically European and South American markets, as well as India generated significant growth momentum for us during the quarter. Both our gross margin rates and gross profit increased on a sequential basis. G&A expenses as a percentage of revenue came in at a historical low of 9.1% demonstrating higher level of operating efficiency and business automation. We were impacted by the significantly depreciating British Pound over the past year resulting in unfavorable Forex impact of $1.6 million. We continue to make products available -- accessible to our global customer bases at affordable prices. Our post-sales return and refund rates dropped to a historical low during Q2 as our primary focus remained on continuously improving our supply chain by fine tuning new vendor acquisition practices, implementing stronger product quality control and developing an incentive system which segments suppliers according to product defect rates, on-time fulfillment rates and out-of-stock ratios. This effort has resulted in the continued decrease in post-sales returns and refunds especially with regards to product quality issues demonstrating the effectiveness of our supply chain management initiatives and improving customer satisfaction. As the next step in taking advantage of our stronger supply chain, we have successfully launched a number of OEM and ODM products marketed under the LightInTheBox associated brands in the electronics accessories category such as mobile power banks and cables which are generating exciting initial sales results with higher customer conversion and satisfaction rates. During the quarter we established a new OEM/ODM business units by recruiting expert talents in the OEM/ODM business. We will continue to invest in developing our OEM/ODM business in an effort to turn this business into a growth driver moving forward. We continue to make great progress in increasing our mobile penetration rate. Both user visits and a revenue from mobile platforms hit another historical high during the quarter. This was the direct result of our mobile focus to Facebook marketing initiatives and a number of new features incorporated into our mobile apps such as the improved personalized product recommendation engine. We also made good progresses in expanding to new emerging markets. Our expansion into India is moving rapidly as number of orders there continue to grow. We formed a strategic business partnership with Gati during the quarter to further expand our presence in this rapidly growing market. Gati's customized cross-border logistics solutions between China and India would significantly improve the speed, reliability and cost of delivery of our parcels to India. We officially launched a tailor-made website in Arabic for members of the Gulf Corporation Council which offers targeted products to the region. We also began using videos and online opinion leaders marketing to Russia, Brazil and a number of Mid-East markets especially targeting younger audiences which we believe can potentially generate a higher return on investments. We also developed a more localized payments options in emerging markets by offering younger generations there with offline payments and installments which increase our payment success rate significantly in markets such as Brazil and Russia. We have opened a number of online outlet stores on low cost third-party e-commerce platforms in markets such as Brazil, France and Japan during the quarter which offer selected products tailored to local needs and tastes. In addition, we established multiple specialized shipments routes to Russia with Mid-East and Brazil enabling us to shorten door-to-door delivery time without impacting shipping cost. Overall, we continue to develop new ways to access and serve global customers in different countries and regions with more and more localized approach. In summary, we are pleased with the continued progress we have made during the quarter as we drive revenue growth. Our strategy is clearly beginning to bear fruit. We are confident with our strategy and executional strengths as we seize long-term growth opportunities in global cross border e-commerce. I would now turn the call over to Robin to go through the financials for the quarter.
Robin Lu: Thank you, Alan. As I review our financial results, let me remind you about a few things. All numbers quoted are in U.S. dollars; all percentage changes we refer to are year-over-year unless otherwise noted. So to start, net revenues increased 19.6% to $78.5 million for the second quarter of 2017. Net revenues from top product sales were $73.7 million compared with $59.4 million in the same quarter of 2016. Net revenues from service and others were $4.8 million, compared with $6.2 million in the same quarter of 2016. As a percentage of net revenues, service and others accounted for 6.2% in the quarter 2017. Total orders of product sales were 1.7 million compared with 1.4 mmi in the same quarter of last year. While our total number of product sales customers in the quarter were 1.4 million compared with 1.2 million in the same quarter of 2016. Product sales in the apparel category was $27 million compared with $24.1 million in the same quarter of 2016. As a percentage of product sales, apparel revenues accounted for 36.6% compared with 40.6% in the same quarter of 2016. Product sales from other general merchandise were $46.7 million for the same quarter of 2017. Looking at our business geographically; product sales from Europe were $37.4 million for the second quarter of 2017 compared with $32.9 million in the same quarter of last year, representing 50.7% of the total product sales for the second quarter of 2017. Product sales from North America were $19.2 million compared with $19 million in the same quarter of last year, representing 26.1% of total product sales for the second quarter of this year. While product sales from other countries were $17.1 million, representing 23.2% of total product sales for the same quarter. Total cost of revenues was $50.9 million, an increase from $41.1 million in the same quarter -- period last year. Cost of product sales were $46.2 million compared with $35.4 million during the same period last year and the cost of service and others was $4.7 million compared with $5.8 million during the same quarter of 2016. Gross profit was $27.6 million and the gross margin was 35.2% compared with 37.2% in the same quarter of last year. Fulfillment expenses, which include payment processing fees were $4.3 million compared with $4.1 million in the same quarter of last year. Selling and marketing expenses were $18.1 million compared with $14.1 million in the same quarter of last year. G&A expenses were $7.2 million, a decrease from $8.3 million in the same quarter of 2016. G&A expenses include $2.7 million in technology investments compared with $3.1 million during the same quarter of last year. Net loss was $1.8 million compared with net loss of $1.9 million a year ago. Non-GAAP net profit was $0.3 million compared with non-GAAP net loss of $1 million in the same quarter of 2016. Net loss per ADS was $0.03 compared with net loss per ADS of $0.03 in the same quarter of last year. As of June 30, 2017, we had a cash and cash equivalents and restricted cash of $79.9 million. For the third quarter of 2017, based on our current estimates and the business [seasonality], we expect net revenues to be in the range of $75 million to $78 million, representing an increase of 16.5% to 21.2% year-over-year. This forecast reflects the company's current and preliminary views on the market and operational conditions, all of which are subject to change. This concludes our prepared remarks. At this point, we are ready to take some questions. Operator?
Christian Arnell: Thank you, operator. This concludes the second quarter 2017 earnings conference call. Thank you for your participation and ongoing support to LightInTheBox. We look forward to providing you with more updates in our business in the coming weeks and months ahead. If you have any questions or concerns, please don't hesitate to contact investor relations. Thank you, and have a good night. Bye, bye.
Operator: Ladies and gentlemen, this does conclude our conference for today. Thank you for participating, you may all disconnect.